Matthew Stroud: Thank you Matt, and good morning, everyone. Welcome to SeaWorld's second quarter earnings conference call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Marc Swanson, Chief Executive Officer; and Elizabeth Gulacsy, Chief Financial Officer and Treasurer. This morning, we will review our second quarter financial results, and then we will open the call to your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of the Federal Securities Laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time to time and will be included in our filings with the SEC that are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we may reference non-GAAP financial measures and other financial metrics such as adjusted EBITDA and free cash flow. More information regarding our forward-looking statements and reconciliations of non-GAAP measures to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now I'd like to turn the call over to our Chief Executive Officer, Marc Swanson. Marc?
Marc Swanson: Thank you, Matthew. Good morning, everyone and thank you for joining us. I'm pleased to report that despite continuing to operate in a highly challenging and COVID-19 impacted environment, momentum from the first quarter continued into the second quarter, and we delivered strong second quarter financial results, including record revenue, net income and adjusted EBITDA. Our strong financial performance through the first half of the year, underscores the resilience of our business and our ambassadors and our commitment to emerge from this extraordinary environment, an even stronger and more profitable business. During the second quarter, we also generated record free cash flow that further bolsters our already strong balance sheet. We are particularly pleased to deliver these second quarter financial results, considering we continued to be impacted by the COVID-19 pandemic during the quarter. All our parks were operating with capacity limitations, and or modified or limited operations at the beginning of the quarter. By the end of the second quarter, all 12 parks were open and operating without COVID-19 related capacity limitations. Our pricing and product strategies, along with the strong consumer demand environment continued to drive higher realized pricing and strong guest spending, resulting in record total revenue per capita in the quarter. We continued to see success with our strategic pricing initiatives and our quarterly events, including new or expanded food, beverage and entertainment events at some of our parks, as well as several new or reimagined venues, we have launched during the past few quarters, which also helped give guests more reasons to spend. On the merchandise side, we have refreshed our retail offerings by adding new products and improving the product mix. These and other initiatives have all contributed to the increase in guest spending. And we are encouraged by these successes as our guests have been returning to our parks over the last few months. Looking to July, we continued to generate strong performance versus 2019, with our attendance down approximately 7% and revenue up approximately 13%. We are very proud to have recently received recognition from USA Today readers for having some of the best parks and attractions in the country. SeaWorld Orlando was voted best amusement park in the United States. The Mako roller coaster at SeaWorld Orlando was voted best roller coaster in the United States. Aquatica Orlando was voted best outdoor waterpark in the United States, and Celtic Fyre at Busch Gardens Williamsburg was voted best amusement park entertainment in the United States. Several of our other parks and attractions received Top 10 rankings as well. We are thrilled to receive these awards and proud of the ambassadors in our parks that helped deliver amazing guest experiences. We were on schedule of our build out of Sesame Place in San Diego, and look forward to opening that park next year. And SeaWorld Abu Dhabi, the first SeaWorld Park outside of the United States, is also on track to complete construction by the end of 2022. We continue to closely study additional business development opportunities to grow the company, including hotels located on or nearby our existing parks, and other potential international development locations. On the technology front, we have rolled out our new mobile app for the SeaWorld and Aquatica parks, and the remainder of the parks will be online later this year. We did extensive testing, and received positive feedback from beta users. And now guests in our SeaWorld and Aquatica parks can use the app to navigate the park, order food, make purchases, or check schedules and wait times. We expect to expand this capability over time and anticipate positive impacts on in-park spending, as guests adopt and use the app. Also, we have selected our CRM system provider and are beginning to migrate our data to the new system, which will eventually lead to full CRM capabilities. Once complete, we anticipate that our marketing, analytics and business capabilities will significantly improve, allowing us to better understand and engage with our guests, which we expect to lead to reduced overall marketing cost, increased visitation, and increased overall revenue opportunities. Looking to the next few months, we have an outstanding lineup of fall events. Next month, we will begin our award winning Halloween events, including our daytime family oriented SeaWorld Spooktacular event at the SeaWorld Parks and our night-time Howl-O-Scream event at all our Busch Gardens and SeaWorld parks, including for the first time ever, SeaWorld Orlando and SeaWorld San Diego. We are excited about having this event for our thrill seeking adult guests in Orlando and San Diego. There will also be craft beer and cultural festivals at several of our parks. We believe there's something for everyone to enjoy this fall. Our teams have worked hard to operate our parks in an – extraordinary environment, and better positioned this company through revenue growth and increased profitability. As we have demonstrated in the second quarter, we believe the strategies we have developed and refined over the past few years, along with the actions we have taken throughout the past year will continue to lead to significantly improved financial results for the company. With that, I would like to turn the call over to Elizabeth to discuss our financial results in more detail. Elizabeth?
Elizabeth Gulacsy: Thank you, Marc. And good morning, everyone. As you know, we typically discuss the results for each quarter in comparison to the prior year's quarter. Given the disruption we experienced last year when we temporarily closed all of our parks on March 16, 2020. We believe a comparison of our results to the second quarter of 2019 provides a more meaningful insight on our performance and operating trajectory. As such, like last quarter, I'll provide commentary around our financial results compared to 2019. For those interested, we provide a comparison versus both 2019 and 2020 in our earnings release, and we'll do so as well in our form 10-Q which we plan to file tomorrow. As Marc mentioned, our second quarter results were impacted, by the COVID-19 pandemic. However, with a return to more normalized operations through the end of the quarter, along with the work we have done in both revenue management and our cost savings initiatives, we reported record total revenue, record net income and record adjusted EBITDA for the quarter. During the quarter we generated record total revenue of $439.8 million, an increase of $33.8 million, or 8.3% when compared to the second quarter of 2019. The increase in revenue is primarily due to an increase in total revenue per capita of 20.5% partially offset by a decline in attendance of 10.1%. When compared to the second quarter of 2019, attendance declined primarily due to COVID-19 related impacts, including capacity limitations and/or modified or limited operations at our parks for some of the second quarter. Attendance was also impacted by decline from international guests visitation and group events, excluding international and group events guests attendance would have increased by approximately 3% when compared to second quarter of 2019. Our pricing and product strategies, along with a strong consumer demand environment continues to drive higher realized pricing and strong guest spending, resulting in record total revenue per capita in the quarter of $75.71. Compared to $62.82 in the second quarter of 2019, an increase of 20.5% driven by improvements in both admission per capita and in park per capita spending. Admission per capita increased by 18.8% to $41.87, in park per capita spending increased by 22.7% to $33.84 in the second quarter of 2021, compared to the second quarter of 2019. The increase in admissions per capita primarily relates to the realization of higher prices in our admissions products, resulting from our strategic pricing efforts, along with a net impact of the admissions product mix when compared to the second quarter of 2019. In-park per capita spending, improved primarily due to increased guest spending, higher real life prices and fees, and improved product mix and new enhanced and or expanded in park offerings. We generated record net income of $127.8 million compared to net income of $52.7 million in the second quarter of 2019. We generated record adjusted EBITDA of $218.8 million, an increase of $69.1 million, or 46.2% when compared to the second quarter of 2019. The improvement in adjusted EBITDA resulted primarily from a combination of increased total revenue and a decrease in both operating expenses and selling, general and administrative expenses, which together offset the decline in attendance that occurred primarily as a result of the impact of COVID-19. The decrease in these expenses primarily related to reduction in labor related costs, as well as marketing and other operating costs, resulting from structural cost savings initiatives and the impact of modified or limited operations due to COVID-19 for most of the quarter. Looking at our results for the first half of 2021, compared to 2019, total revenue was $611.7 million, a decrease of $14.9 million or 2.4%. Total attendance was 8 million guests, a decrease of 1.8 million guests or 18.1%. Net income for the period was $82.9 million, an improvement of $67.2 million and adjusted EBITDA was $244 million, an improvement of $77.9 million or 46.9%. Now turning to our balance sheet, our current deferred revenue balance as of the end of the second quarter was $238.7 million an increase of approximately 46.3%, when compared to June of 2019. We continue to be very encouraged with the trends we're seeing our pass base. Our pass base grew approximately 53%, between the first quarter and July of 2021. At the end of July 2021, our pass base was up approximately 14%, compared to July of 2019, and is approximately 12% higher than the peak pass base we had in 2019. We are also seeing a higher mix of premium passes in our pass base, as our pass holders continue to recognize the value and benefits of our higher tiered products. Additionally, we continue to see the impact of our pricing strategies taking hold, with stronger realized prices on our pass sales, versus 2019 and 2020. As of June 30, 2021, our total available liquidity was approximately $927.8 million, including $615.8 million of cash and cash equivalents on our balance sheet, and $312 million available on our revolving credit facility. Cash flow from operations was a record $229.7 million in the second quarter, and $248.1 million for the first six months of 2021. Free cash flow was a record $200 million in the second quarter, and $203.1 million for the first six months of 2021. We spent $29.7 million on CapEx in the second quarter of 2021, of which approximately $20.8 million was on core CapEx and approximately $8.9 million when it's on extension or ROI projects. For 2021, we still plan on spending between approximately $120 million and $150 million on capital expenditures. Lastly, on July 14, 2021, we redeemed $50 million of our 9.5% second priority senior secured notes. Together with our board, we continually evaluate the company's capital structure with an objective of maximizing shareholder value. Now let me turn the call back over to Marc who will share some final thoughts. Marc?
Marc Swanson: Thank you, Elizabeth. Before we open the call to your questions, I have some closing comments. In the second quarter, we helped rescue over 500 animals and has exceeded 39,100 animal rescues over the company's history. We were one of the world's leading animal rescue organizations. And we are proud of our efforts to protect and save wildlife. We want to thank our employee ambassadors for their continued dedication and effort to welcome guests while operating our parks in accordance with the latest health and safety protocols. As always, we are focused on providing a safe and fun guest experience while continuing to offer innovative special events and creating new events for our guests to enjoy our parks. Despite the progress we have made, we continue to believe there are significant additional opportunities to improve our execution, take advantage of clear growth opportunities and continue to drive meaningful growth in both revenue and adjusted EBITDA. We continue to have high confidence in our long term strategy and in our ability to deliver significantly improved operating and financial results that will lead to meaningfully increase value for stakeholders. Now, let's take your questions.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question will come from Michael Swartz, with Truist. Please go ahead.
Michael Swartz: Yes, hey, good morning everyone. Marc maybe you want to touch on attendance trends during the quarter. I think when we last spoke in April, we had come out of the first quarter with about a tenants standing somewhere around 80%, 82%, I believe of 2019 levels. It appears that that improved materially during the quarter. And I think July, you said attendance was down 7% versus 2009. It appears to imply attendance is running over 90%, 2019 levels. So help us understand maybe how that trended during the quarter? And if those numbers aren't that correct?
Marc Swanson: Yeah. Hey, Michael, it's Marc, I can take that question. I mean, look, I think, as you noted, the trends kind of improved, if you will, during the quarter. So as of April to May to June, so we were pleased with that and ultimately, where we ended the quarter down, 10%. And then July, as we mentioned only down 7%. So we're pleased with the trends we're seeing in the attendance performance.
Michael Swartz: Okay, great. And I think in the press release, you'd mentioned that you're, you're adding a number of operating days to the back half of the year, relative to 2019. So maybe help us understand just maybe the magnitude of the operating day increase, and maybe are there incremental, special events and festivals that you are adding to the back half of the year?
Marc Swanson: Yes, so most of the operating days are going to be in the back half of the year. And it's really around, I think, some incremental days, around some of our events around Halloween around Christmas, but also some other things that, we learned a good deal of last year, like some of our drive through experiences, for example. So we're going to take advantage of some of those opportunities and drive some additional days in the quarter. Obviously, and we're also excited about adding the nighttime Halloween experience, Howl-O-Scream to SeaWorld Orlando and SeaWorld San Diego.
Michael Swartz: Okay, thank you.
Operator: Our next question will come from Steven Wieczynski with Stifel, please go ahead.
Steven Wieczynski: Hey, guys, good morning. So Marc, when I ask about the margin opportunity moving forward, I mean, you just posted a, I think – it's about a 1,300 basis point improvement relative to the in the second quarter of 2019. So, how should we think about the gives and takes of margin, acceleration or pressures moving forward? I mean, and this is even with a super tight labor market right now. So, how have you been able to combat labor? While at the same time not impacting the guest experience?
Marc Swanson: Yes, hey Steve. What I'll say is, I think, we have a tremendous focus on cost and operating the business in an efficient manner. And we're very committed to that. And we'll continue to do that, as you've witnessed. We're also obviously getting a lot of margin expansion from the revenue side, as well. And I think the work we've done on per caps, has really signed through here, the last several quarters, especially this quarter, so we're going to continue to do our part to grow margin, as much as we can, we're not obviously, we're going to be very careful, obviously, to protect the guest experience. And look, our goal is to have a good guest experience in our park, having said that, we think the combination of revenue enhancements and cost efficiencies, can do some good things for our margin. And you saw that here in the second quarter.
Steven Wieczynski: So to follow up on that, from a labor perspective, in terms of what you guys are seeing today is the labor market intensifying? Is it kind of staying the same? Or, is it getting better?
Marc Swanson: Yes, Hey, Steve, I would say look, labor, like many companies have talked about labor, labor continues to be a challenge. Having said that, we're working hard to control, we can control and attract people to come, to come work here in our environment. We think – we have a fun environment working at a theme park. And so we'll continue to do that. And we have a lot of focus on, doing just that going forward.
Steven Wieczynski: Okay, maybe then if I can have ask one more quick one, it just, obviously, you guys are now generating a pretty significant amount of free cash flow, at this point. So can you just help us understand, your current uses for cash at this point?
Marc Swanson: Yes, it is a good question. So, certainly we're pleased with the cash flow generation, in the quarter, as you mentioned. It was a record free cash flow. So very, very pleased with that. And we've, we've been working through a list of items with our board that we can deploy that cash and some quick hitting items around CapEx in our parks, some venue refreshments, some upgrades in some areas of the park. And then also some ROI type items on expenses, where we can some utility savings things that we can invest in, and we'll drive expense improvements. So we've been, deploying that list and continue to review that list. So those are kind of making investments in the business, if you will. Anyhow beyond that, we also, as you heard, Elizabeth mention, we did pay down some of the notes in July. Beyond that, we're certainly open to M&A opportunities, hotels, the things I mentioned, in my prepared remarks. We certainly find those things intriguing. And, should the right thing come along? I think we're in a position, that to be able to evaluate that and see what might make sense for us. So those are kind of investing in the business, over the – over the kind of longer term, if you will, I can tell you that, we certainly have frequent communication with our board on the best ways to deploy cash. And we'll continue to do that, we'll be opportunistic. And we'll, make sure to deploy that in a way that we believe is best for shareholders. So the good news is, in general, we're very pleased with the generation we have – the cash flow generation we have, a number of opportunities ahead of us, I think that are that are compelling uses of that cash.
Steven Wieczynski: Okay, great. Thanks, guys. Appreciate it.
Operator: Our next question will come from James Hardiman with Wedbush Securities. Please go ahead.
James Hardiman: Hey, good morning. And congrats on a great quarter here. Just to follow-up on Steve's question, is there any way to quantify the labor piece whether it be, dollars of incremental inflation versus where we were in 2019? Or incremental versus how you thought it would be heading into 2021?
Marc Swanson: Yeah, hey, James, like we were focused on labor? I'm not going to provide a number, obviously, there is inflation in those numbers. But I think as I said earlier, we're committed to the cost, savings and efficiencies in our business. And our goal, obviously, is to when we have inflationary increases that are above kind of the norm, and many companies have this year, our goal is to offset as much of that as we can with additional efficiencies and additional automation efforts in the business. And that's what we are attempting to do.
James Hardiman: Okay, fair enough. And then, as I think about, you talked about in the prepared remarks, how significant of a drag group sales and international sales were, can you maybe tease those two out to the extent you feel comfortable? Or at least maybe order of magnitude between those two? And was it an and I guess, secondly, was it a similar drag in the month of July, which would suggest, ex-those numbers, you had some nice growth in July. And I guess lastly, just the pace of recovery of those two buckets, the international piece and the group sales piece. Thanks.
Marc Swanson: Sure. So, in regards to July, it was a similar trend, we would have been up 2%, without kind of international and group impacts in there. So, it's a good backdrop, if you will, that those – as those, hopefully become tailwinds in the future. So, we know, we don't know when, but at some point, international attendance will come back. And we're also optimistic that – that group events will come back over time. So those are going to be – those are going to be tailwinds for us. I think, between our prepared remarks and what I just commented on about July, you can see that the business, absent those things is growing our attendance is growing. And those will just be tailwinds as we move forward and recover from those whenever they do recover.
James Hardiman: Is there a way to think about those versus 2019 levels? I would think that group is maybe pacing ahead of international, but is there a way to quantify that in anyway.
Marc Swanson: I think the way I think about it is like there's very little as you would expect international attendance, and that'll, while it is overall to our company about 10% of our attendance in 2019, that gives you some order of magnitude there. Groups, school groups and church groups and camps and stuff are certainly not traveling. And you've heard others talk about this dynamic as well. So that'll return as well. But I think between, like I said, in July, we were down seven, we would have been up low single digits, absent those things that gives you kind of some order of magnitude on that.
Operator: [Operator Instructions] Our next question will come from Brett Andress with KeyBanc Capital Markets, please go ahead.
Brett Andress: Hey, good morning. So when you gave the illustrative targets, your per cap assumption, I think was 10%. Growth above 2019. And, here we are through July, you're tracking I think it implies 20%, above 2019. So, I guess how has your thinking evolved around those per cap targets. Right, is the gap between that 10% and 20%, right now, just macro factors, like higher consumer demand you expect to roll-off, or do you think you're doing anything specifically, that would drive upside, that 10% increase you gave us in the targets?
Marc Swanson: Yes, hey, Brett, let me kind of unpack that a little bit? I'll start with your per cap question. Look, certainly, we've recognize where we're operating in a strong demand environment. Having said that, we are doing a lot of things much better than we have before. And I think the fruits of all the efforts that we've had over the last couple of years, are really kind of shining through. I'll start with our revenue management team, a group of people who are looking at our pricing, and products and how we position those things, on a regular basis. And a lot of the work they're doing has benefited us, in the per cap area. We're also as I mentioned, the mix of product in our park, whether it's the merchandise mix, upgrading some of our food and beverage menus, or rebranding them, or redoing them, has been beneficial as well along with the new venues, we've opened in a number of our parks. So we have a number of new kind of in-park venues from ice cream parlor to a coffee shop, to several new bar venues in a number of our parks. So we are, those things are all benefiting us clearly in the per cap area. So that's just, something we feel good about going forward? Is it always going to grow at 20% or something? I don't think so there would be some normalization, but are we going to be able to get more than, inflationary growth, or more than that, I think so. Because keep in mind, our mobile app just rolled out. And that is going to continue to expand and it's not even in all our parks yet. That'll help in park spending, and then we also have the CRM system, which still is a little ways away. But when that does roll out, we think that's going to allow us to be a lot more targeted to our guests, a lot more target events, and to get offers to them that type of thing. Again, which we think will be a benefit to spending. So those are also tailwinds, not to mention the international visitation that we know, at some point, we'll come back, we don't know when but when it does, we know those folks are generally higher per cap spenders. So feel good about the per cap position. As far as your kind of a question, as far as the 690, I think you were alluding to the per cap assumptions in that. Obviously, we're well ahead of the, per cap assumption or illustration that we gave you in that 690 illustration. And so, certainly our goal would be to do better than what we laid out in illustration. And that illustration, certainly was not guidance, it was not a goal. It assumes we don't grow any attendance from 2019. And certainly our expectation is that we will grow attendance over time, this collection of parks has done much more attendance than we did in 2019 in its history. So, our goal would be obviously to do more attendance. And then obviously, we're outperforming the per capita that we illustrated. And then as I mentioned, the other component of that, and I've mentioned earlier was on the cost savings. We're committed to, driving efficiencies in the business and achieving cost savings. So that, I think we feel pretty good about the outlook of this business. And we will probably come back at some point in the future with how we're viewing that, as a move through we want to get through this year, obviously. So that gives you a little bit of flavor for where things stand.
Brett Andress: Got it helpful. And then obviously a lot of Delta fears out there but maybe more specifically on Florida, which I think is a unique, maybe approach down there, plus it's a destination market. I mean, have you seen any trend changes on the ground in Orlando in the most recent week or days? And I know you also have some booking visibility Discovery Cove just curious if anything, real time there.
Marc Swanson: Hey, Brett, look, obviously we know it is out there, the media has been talking about it, it's on people's minds, having said that, we don't see an impact to or a change in our attendance trends that we can attribute to the Delta variant.
Brett Andress: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Marc Swanson, CEO for any closing remarks.
Marc Swanson: Thank you, Matt. On behalf of Elizabeth and the rest of the management team at SeaWorld Entertainment, I want to thank you for joining us this morning. As you heard today, we are confident in our long-term strategy, which we believe will drive improved operating and financial results and long-term value for stakeholders. Thank you and we look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect